Operator: Thank you for standing by. This is the conference operator. Welcome to the Allied Motion Technologies' Third Quarter 2017 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Deborah Pawlowski, Investor Relations for Allied Motion Technologies. Please go ahead.
Deborah Pawlowski: Thank you, Claudia, and good morning, everyone. We certainly appreciate your time today as well as your interest in Allied Motion Technologies. Joining me on the call are Dick Warzala, our Chairman, President and Chief Executive officer; and Mike Leach, our Chief Financial Officer. Dick and Mike will review our third quarter results and provide an update on the company's strategic progress and outlook. After that, we will open it up for questions. You should have a copy of the financial results that were released yesterday after the market closed and if not, you can find them on our website at alliedmotion.com. You will also find on the website, if you have not yet received them, the slides that accompany today's discussion. If you're viewing those slides, please turn to Slide 2 for the Safe Harbor statement. As you are aware, we may make some forward-looking statements on this call during the formal discussion as well as during the Q&A. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated on today's call. These risks and uncertainties and other factors are provided in the earnings release as well as with other documents filed by the company with the Securities and Exchange Commission. You can find these documents on our website or at sec.gov. I would like to point out as well that during today's call we will may discuss some non-GAAP measures, which we believe will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP to comparable GAAP measures in the tables accompanying the earnings release and on the slide. So with that, if you turn to Slide 3, I will turn the call over to Dick to begin. Dick?
Dick Warzala: Thanks, Debbie, and welcome, everyone. We are pleased with our third quarter performance, which resulted in revenue growth of 6.4% and an earnings per share increase of 10%. The results further reflect considerable growth within our Medical and Industrial/Electronics market, and we also saw a nice uptick in sequential Vehicle market sales. While our Vehicle market sales are down on a trailing 12 month basis and are far from the levels we have seen historically, we view the sequential increase as a step in the right direction. The headwinds from the Power Sports market appear to have bottomed and new projects, such as the $90 million Vehicle market win will ultimately fill the void we've experienced from program end of life in certain Vehicle applications. The solid demand for our servo motor products used in factory and industrial automation solutions drove the notable growth within our Industrial/Electronics market in the quarter. Also, as announced in early October, we secured a $6.8 million contract in defense market, which does begin shipping this year and is further evidence that our target market strategy focused selling efforts are beginning to yield benefits. The recruitment of new sales partners or Allied Solutions Providers is going quite well. We have signed 7 ASPs to date and have planned to add 5 more by year-end. While this channel is currently a relatively small contributor to our total revenue mix, we do view this channel as one that can expand our reach and enhance our growth prospects in the future. The opportunity we have seen to date in this channel are definitely encouraging. Over the last 12 months, our Medical, Industrial/Electronics and Aerospace & Defense markets have experienced considerable growth and now make up 54% of our revenue mix, up from 47% in last year's corresponding period. We continue to demonstrate our ability to generate cash and utilize what we generated in the quarter to invest in productivity and growth initiatives as well as to further reduce our debt. We enjoyed a record quarter of orders and our backlog grew substantially to set a new record high for the second consecutive quarter ending at $93.5 million. I will talk to that in more detail after Mike provides his commentary. So with that, Mike, let me turn it over to you for review of the financials.
Michael Leach: Thank you, Dick. Please refer to Slide 4. Revenue was $65 million, up 6.4% in the quarter compared with the prior period. Excluding favorable FX impact, revenue grew 4.2% to $63.6 million. Sales increased $4.6 million or nearly 8% from the trailing second quarter. As Dick mentioned, we saw strong year-over-year demand from the Industrial/Electronics and Medical markets as well as an increase in distribution sales. Those gains were partially offset by the continued sluggish demand in the Vehicle market. However, as Dick also noted, we saw a nice uptick in sequential quarter Vehicle market sales. Sales to U.S. customers were 53% of total sales for the quarter compared with 56% in the same period last year. Slide 5 shows the change in our revenue mix by market.. These values are on a trailing 12 month basis compared with the corresponding prior year period. As you can see, the headwinds in the Vehicle market have significantly reduced that market's revenue contribution, while we have seen considerable growth in Medical, Industrial/Electronics and Aerospace & Defense helping to diversify the revenue base and pick up the Vehicle market gap. Within the other category is our distribution business. It is currently small, but growing nicely, and we will break it out of the separate market once it gets to be more substantial piece of our overall market mix. Slide 6 provides details on our operating performance. Gross profit was $19.5 million or 30.1% of revenue compared with $17.9 million or 29.3% for the third quarter last year. The 80 basis point margin improvement was due to the higher volume and a more favorable product mix. G&A expenses were $6.3 million, up $1 million in the quarter, which reflects increased incentive compensation given our improved performance. E&D was 6.8% of sales and selling expense were 4.3% of sales, with each up about 30 basis points over last year. Higher E&D spending was focused on customer-specific motion solutions and reflects a growing pipeline of motion solution opportunities. Overall, operating costs increased $1.7 million or 13.5%, and as a result, operating income came in at $5.3 million consistent with the prior year. Slide 7 presents our net income and adjusted EBITDA. We previously discussed our new debt facility that was completed in the fourth quarter last year that has considerably reduced interest expense. Given the lower cost of debt with the new credit facility, interest expense decreased measurably in the quarter to $633,000 from $1.5 million in the prior year period. The effective tax rate in the third quarter was 33.1%. However, we continue to anticipate our effective tax rate for full fiscal 2017 to be approximately 29% to 32%. The effective rate was higher for the third quarter 2017 than 2016 due to the mix of income from domestic versus foreign jurisdictions. We expect a discrete tax benefit in the fourth quarter associated with the selling of certain stock grants, which would create a lower effective rate. We use adjusted EBITDA as an internal metric and believe it is useful in determining our progress and operating performance. This is a non-GAAP measure. Please be advised to review our reconciliation and related disclosures in our release and at the end of the slide. For the third quarter, adjusted EBITDA was $8.4 million or 12.9% of sales, which compares with 13.7% last year. Slide 8 provides an overview of our balance sheet and cash flow. We ended the quarter with a cash balance of $17.6 million, up more than $2 million since year-end. Cash generated from operations was $7.9 million in the quarter, $15.3 million year-to-date and $19.7 million over the trailing 12 months. Debt was reduced approximately $8.9 million since year-end. Debt net of cash was $44.9 million or 34.1% of net debt to capitalization. Year-to-date capital expenditures were $4.2 million and were focused on IT infrastructure and productivity and growth initiatives. We expect our 2017 full year CapEx to be somewhat similar to 2016 at approximately $5 million to $6 million. Inventory turns improved to 4.9x in the quarter compared with 4.3x at year-end 2016. Our DSO was 47 days, up from 44 in 2016. Some of the increase had to do with the timing of a specific customer payment though the DSO level was as expected given payment terms with certain customers. I'll now turn the call back over to you, Dick.
Dick Warzala: Thank you, Mike. We will now turn to Slide 9. Orders grew 23% to a record $73 million at quarter end, marking a steady trend higher since the low and year-end 2016. Similar to the trailing 12 month trends in sales by market, Medical, Industrial/Electronics and A&D drove higher orders helping to offset the softness we have been discussing in our Vehicle market. We also saw a solid increase in demand through our distributors. We had a record level of backlog, which was up a substantial 20% over the prior year period and a significant 10% since the end of the sequential 2017 second quarter. About 80% of backlog will convert in the next 6 months and approximately 90% will convert in about 12 months. Backlog includes the recently announced $6.8 million Defense contract win and revenue will be equally spread out over the 3-year contract period. Moving on to the last slide; our strategic priorities and focus have not changed, and we believe the successful execution will create a stronger franchise upon which to grow. As we look to the remainder of 2017 and into 2018, there are several very encouraging signs. There are a number of multiproduct motion control solution opportunities, and we're working across all of our served markets and we continue to methodically add new ASPs to further our distribution strategy. We are making good progress on the unification of our North American motor operation into Allied Motion North American Motors. This change will further our One Allied strategy and will result in making it easier for our customers to do business with us as well as make us more efficient internally. We have already implemented changes to ensure consistency in our opportunity review process and to better align with our strategic goals and objectives. We believe this change will drive opportunities to the right technology or technology combination and will ensure it is produced at the facility that is best suited for the application. The establishment of processes that ensures alignment with our long-term corporate strategy demonstrates our ASP culture and practice by driving continuous improvement in all aspects of our business and to truly change the game for accelerating organic growth within Allied Motion. This process change along with the continued investment in engineering resources creates scale and enables us to win in our selective target markets and target customers. The acquisition pipeline is fairly full with opportunities as we work to uncover the right strategic fit to expand our capabilities, expand our geographic reach and add new customers. While we have sufficient financial flexibility, we will not stray from our consistent and prudent approach to any future acquisition. We will, of course, accept any tailwinds to help us along the way and with measured optimization and our recent indicators within our served Vehicle markets that success -- suggests we may have finally seen a turning point. With that, operator, let's open the line for questions.
Operator: [Operator Instructions] The first question comes from Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Gregory Palm: Starting with the Q3 results, I guess, you mentioned handful of end markets, but what surprised you the most in terms of the upside?
Dick Warzala: To your question, what end markets surprised us the most with the upside?
Gregory Palm: What end market came in higher than what you thought maybe a few months ago?
Dick Warzala: I would say, Vehicle. And I'd say, I mean, if you take a look at what's occurring there, and certainly, our served customer base, we're seeing some optimism on their part and it's been reflected in our numbers. That optimism, which, if you go back 3 or 4 months, wasn't necessarily there. We heard some rumbling, things like the changing, but I think, when you actually see it and it results in shipments that -- then you're pleased and I'm not -- I'm going to say, totally surprised, but it's good to see.
Gregory Palm: And what kind of visibility do you have in that specific market? I know, in years past, you've gotten hit with some kind of inventory adjustments in the Q4 period, but it definitely seems like things are turning. But what's your expectation there kind of going forward the next couple of quarters?
Dick Warzala: Yes, I think, if you take a look at how we deal with that in particular market segments, we're basically working on a long-term forecast and long-term agreements. And then we have a short window of where the schedules are fixed and we're with -- inside that window, they can't be changed typically 3 to 4 weeks. So it -- if things shift in that market outside of 3 to 4 weeks from now then even though visibility may show us that it looks like they are increasing or in terms of demand or we can still be hit with surprises there. Right now, it appears to be pretty good. And we haven't seen that change come, but we always wait before we can truly talk about what December is until we're in December.
Gregory Palm: Well, it's really good to hear that things at least might be stabilized in there. What about Medical? I mean, you highlighted that seems to be one of the fastest growing areas. Is that surgical robotics? I know you have one pretty prominent customer within that area, but can you talk a little bit about what's driving that growth there?
Dick Warzala: Well, Medical definitely has been a focused area for us -- focused market for us. And our efforts that we've had in the past to targeting certain types of applications and certain customers have paid off, and we do expect to see some continued growth in that area.
Gregory Palm: Any specific applications that you're more excited about or where the outsized growth is coming from?
Dick Warzala: I think Medical as a whole, we're going to continue to see expansion there in diagnostic equipment and instrumentation. So I think that's really where our focus is. We also see that the expansion opportunity for us exists with adding more of our technology to the solution. So while we may have started with selling motor only in certain applications, we're now seeing that -- we're being able to add motors and feedback and special -- other special enabling devices as well as gearing.
Gregory Palm: Yes, understood. And then industrial automation, which you've talked about several times this morning. How much of maybe the growth or sort of the recent results are coming from kind of previous applications, previous customers versus some of the newer strategy? I know you launched a new line earlier this year that was targeted more towards the factory automation crowd, but can you give us some sense of some of the new stuff that's driving that and again, maybe some of the applications that you want to highlight there as well?
Dick Warzala: Sure. I think the market itself is definitely up. I think we're seeing a significant pickup across the board in the market. So existing customers are a significant portion of that increase. I will tell you that when you launch, and what you're specifically talking about is launching of an industrial server line in North America. There has been little measurable results in those activities to date as it is consistent with other design and time frames where it does -- you don't launch and immediately you see an uptick in sales, if that's a commercial product. It does take a little longer to develop. So I would tell you that we're working on additional opportunities with some significant new customers, but primarily the demand that we've seen is for an existing base of customers and increased demand from them.
Gregory Palm: Got it. And I guess, just generally kind of as you look at the overall strategy, this target market strategy that you've been focusing on for a number of years. What sort of tangible evidence can you give us? I'm just kind of curious more from a customer win standpoint. Obviously, your orders have increased pretty meaningfully here as well as your backlog. But can you talk about maybe any new customer wins, giving us examples of maybe customers that you haven't worked with before that maybe left you out of the door, but now are coming back or any evidence like that?
Dick Warzala: Well, I'd say to you, we announced the A&D contract that we had been working on for, I'll say, several years that came through. We see that contract as potentially the first phase of many more to come. So we're very encouraged by that. And I really won't go into specifics about what it does, but I think it's -- from our standpoint, we see that as a nice emerging opportunity and can potentially see benefits in markets other than Aerospace & Defense as well. So we're quite excited about that. We also -- our solutions that are in our whole entire, what we call, opportunity review process. I don't want to understate the effort that we put in to managing that process, setting a review -- an oversight review team in place, making sure and truly ensuring that we are working on the activities, and we're focusing our resources into the segments that we feel give us the best opportunity to win and that we can then leverage resources across the company. So I think aligning that whole process, expanding the Solution Center, integrating the North American motor operations into truly one unit and acting as one unit so we can leverage footprint, we can leverage purchasing power. So the cost side as well here coming into play and then that cost side supporting new application opportunities, which unless you won't -- you are able to engage in competition, they're not going to happen. So I think, we'll keep beating the same drum. Multi-Technology Unit solutions, system solutions, focused on our target markets, we believe, the target markets we select that are very good. We see additional opportunities coming in all of them and remember, we're a technology/know-how company. So that technology/know-how is fundamentally laced under and drives everything within our company. So quite a few new opportunities out there, Greg, and we're very excited about.
Gregory Palm: Yes, that's great. I guess last one, M&A. You touched upon it a little bit on the pipeline. But given you've got a lot of stuff going on internally, I'm curious, how does M&A going forward sort of stack up in terms of ranking and sort of a focus area? And curious kind of what you're seeing out there in terms of opportunities and maybe any changes to the valuations out there in the market.
Dick Warzala: I would say, definitely there's a change in valuation, if you go back several years here, and that's driven by improved performance and also the cost of debt. So the valuations are up, but there is a significant amount of activity, and I will tell you that, again, acquisitions are tricky. We have to make sure we stay disciplined. We have to make sure they fit strategically, and I will tell you that our pipeline is fuller than it's ever been.
Gregory Palm: Good. All right, I appreciate the color. Good luck going forward. Thanks.
Operator: [Operator Instructions] The next question comes from Dick Ryan with Dougherty. Please go ahead.
Dick Ryan: Thank you, congratulations also guys on a good quarter. So Dick, you've been in a little bit of a reorganization phase here and I guess, a couple of questions. Number one, where are you in that process and maybe, Mike, looking at OpEx, were there costs in this quarter that go away? Or what sort of trends should we be looking at from an OpEx standpoint?
Dick Warzala: Mike, why don't you go first?
Michael Leach: Sure. So I would suggest that there were some costs in OpEx, but not one that I would say stands out as being overly material. We'll continue to see some costs associated with the reorganization process. I think we've discussed on prior call that it's not of a magnitude where we would take a restructuring charge or something of that nature. We are working on the other side of the equation. I'll tell you, there's low-hanging fruit for us to save some costs. Dick touched on strategic sourcing and getting the most out of our manufacturing footprint. So there are some, I would say, low-hanging fruit, short-term opportunities that are low six figure in nature. So again, nothing that I would say will materially move the P&L in the short term. The effort really is more focused on leveraging growth and technology.
Dick Warzala: And Dick, I'll answer your question here now as far as the reorganization process and so forth. I will tell you that, as we discussed here, the creation of North American Motors to better align our North American footprint and for more efficient utilization of the resources we have that being people, that being capital, that being focused on ensuring that we're looking at the right opportunities, the right markets and so forth. So it will continue. There's -- I would never say that we're done. I will tell you that's a continuous process, and we'll always look at ways to improve, but I will say that North American Motors is a significant step forward in aligning those resources, and I will -- and I think it provides us with some excellent opportunities for the future. As we move forward, we're working on larger projects, larger opportunities. Capital investments are required and instead of acting as small independent units, we need to think as one company. We need to invest as one company. We need to leverage those investments as one company, and that's really what we're driving towards. And realizing the synergy opportunities that are there for us. And talking about, let's not forget about back office, and forget about how we've been able to utilize technology to improve our internal systems and processes, which we're incurring costs, we'll continue to incur some costs, but what it does for us is the utilization of that technology ensures that we don't have to hit brute force and adding a large army of people here to continue as we grow. So I think, I would hesitate to tell you that it's ending. I will tell you that I think we've made some excellent strides in our backbone and our structure, and that's allowing us to move forward. And again, functioning as one ally, consistent with that long-term strategy. And we'll continue to do that and as long as we have payback available -- opportunities available to us, we will definitely do it.
Dick Ryan: Okay. And I think on the last call, Dick, you were talking about retirements kind of moving through. Is that -- has that been a disruption? Or has that just been sort of a normal course of operations?
Dick Warzala: Excellent question. As you probably know, we had our board meeting yesterday. And we went through our organization, and I think, having retirements in, certainly in critical positions are credit to the organization to each of our people who have developed people behind them. And I'll tell you, we didn't miss a beat. We've been able to grow and recruit and develop from within. And that's truly a sign of a strong organization. So we've managed the retirements. And again, I have to tell you, we did not miss a beat.
Dick Ryan: Okay, good. On the factory automation side, it sounds like there's various opportunities there. But I think also on the last call, you referenced some customized robotics. So I guess, I'm just trying to tie the two commentaries together.
Dick Warzala: Sure. In my section here of the conference call, I did mention factory and industrial automation, because I think we have to think of those two hand-in-hand. We're talking about specialized equipment for process improvement and you're talking about general, what we see as the robotics industry and in a truly emerging robotics industry, which is in the productivity improvements that we're seeing in the factories and in process around the world. So absolutely, it is a growing and emerging market and we think those companies that have the ability to integrate well into the system, and in this case, many times that we're talking about frameless motors and parts rather than the duplication of costs so that we can drive the cost of that end solution down or it gets applied right into wider, wider range of applications and processes. So it's absolutely emerging. I feel we're positioned quite well. We have the technology to do it. And it's one of those areas -- when I think about the investment we need to make here to ensure that we're a major player there, we do have to function as one company and not individual units, because that's how we're going to leverage those -- that capital investment to make us and ensure we're competitive globally.
Dick Ryan: Good. One last one, I mean, very nice trend and order activity over the last several quarters. How does the pipeline look today? I mean, are we -- are you seeing things coming in at the top of the funnel that's going to replace what is coming through?
Dick Warzala: Yes. We're very optimistic. We see several new opportunities, again, that we've invested on and we've made substantial investments on that are coming along very nicely, and we're confident that we'll be able to talk about more of those in the future and to show you that its continued success and that we are -- the efforts that we put in the investments we made, we are getting the benefit from now. And we will so those well into the future. So very confident.
Dick Ryan: Great. Thank you.
Operator: The next question comes from Jeff Geygan with Global Value Investment Corp. Please go ahead.
Jeffrey Geygan: Good morning, gentlemen. Thank you for taking my call. Very nice quarter, congratulations to terrific validation of the work that you've talked about for the last few years. With respect to the change in revenue by segment or market, how would you characterize the decline in Vehicle revenue on a comparable period with the improvement in gross margins? And how should we think about your gross margin on a forward basis as you drive your business per your plant?
Dick Warzala: Mike, you want to take that, Mike, or I'll…
Michael Leach: Sure.
Dick Warzala: So I'll let you go ahead and grab that.
Michael Leach: Sure. Well certainly, the gross margin in this past quarter has benefited from the additional volume and the volume that we've seen in the Vehicle market. So to the extent that, that continues or trends upward, it should be a tailwind to our margins. As we've discussed in the past too, as we drive towards more and more motion solutions versus motion components from a sales perspective, which we are seeing, that should also provide talent to continue to elevate that gross margin and then drive it to higher levels.
Dick Warzala: And I will add a little bit of color to that, is that we were very much impacted by the fact that we had acquired several companies, and they had a fully autonomous business footprint. And it really -- once you cross that breakeven line and we are covering your fixed cost then you really do start to produce profits a lot quicker. So some of the work that we've identified then make sure we put the right products in the right facilities, leveraging our footprint better, really addressing the -- some other opportunities that exist for us out there to leverage capital investment. And we are doing that, and I think, so when you look at, as our business has declined in certain markets, and we get to that kind of that breakeven point, it has a major impact, but it also comes back very quickly. So our focus has been on, we have this capacity, we have this capability, let's make sure we're utilizing that and let's make sure that we're pretty aggressive and go after that. So the gross margin mix is impacted just as much by volume that's going through the footprint we have and as we address that, I think we'll see that help us more in the future too.
Jeffrey Geygan: Appreciate that color. With regard to the distribution unit, and I know this segment is relatively small, yet growing, how will that impact our business over time?
Dick Warzala: Great question. Now we reported -- we'll be reporting the business and distribution. And reality is that distribution channel crosses most of the markets we serve. I will say there's a couple of exceptions to that. When you get into certain high-volume applications and Vehicle, it may not work really well. And A&D is sometimes tough. So the distribution channel, our distribution channel that we're developing and we talk about Allied Solution providers. And I don't want you to think of that as a traditional stocking distributor channel. That's not what it is. It is really an extension of our technical capabilities and that's why our efforts are very much focused on getting the right organization to understand the sales cycle process, who have a technical capability, who are locked in with certain customers in a relatively small geographic region, where they may be selling other products or in a total solution. So that's an extension of us. So while that may take a little while to ramp up, we see some excellent opportunities there. And the other thing I'll add to that is in power transmission/motion control market, about 50% of all sales in the market go through a distribution-type channel. And we are relatively very small in that regard. So that's why we do see some excellent opportunities more in the future.
Michael Leach: And the margin profile under sales should be consistent with what you see with the rest of the business as well, Jeff.
Jeffrey Geygan: Thank you for clarifying that. I was going to say, in other words, this, at some point, could be relatively large contributor at least to revenue and gross margin.
Dick Warzala: Correct.
Jeffrey Geygan: Did you say during your prepared comments, you had 7 ASP customers signed and you anticipated adding another 5 before year-end?
Dick Warzala: Yes, that's correct. We have 7 signed this year. And 5 to 7 more we're expecting to add before year-end. So that tells you we were well down the road here in the process. We're looking actually...
Jeffrey Geygan: What have your...
Dick Warzala: Doubling that next year.
Jeffrey Geygan: So the efforts you have made early on may have been difficult to get the first 5, but adding, you seem to have found your sea legs here and are able to add pretty aggressively at this point.
Dick Warzala: I think it's two things. Number one is that, you need to identify who the right partners are going to be and I mean, partner from their standpoint and ours. It has to be a good fit. There is a significant investment by both parties when you do add, whether it's from the ASP side or from the Allied side, is investment in training, investment in people, investment on truly understanding and developing them to the point of where they can effectively go out and support and sell your product. So I think, there is a startup and a conscious effort on our part to make sure that we didn't sign up too many too quickly so that we have our ducks in a row and so we can start to leverage that as we move forward. So all of it comes into play, and as you roll the program out, it may be easy to sign, but it doesn't mean anything if you haven't effectively trained them and provide the support for them so they can develop their business. Otherwise, it will just be for now [ph]. So that's more of it than anything else.
Jeffrey Geygan: Appreciate that. With regard to the existing customers that you're working with and the new prospective customers, without asking any names, what is the ratio of existing customers to Allied Motion versus brand-new customers to Allied Motion that are part of that universe?
Dick Warzala: I don't have data readily available to me that can come up with that, but I mean, we do look at in our planning process, new customers, new applications and so forth. Mike, you have a good feel for that. I mean, we do track all of that, but I don't readily have the numbers available to me.
Michael Leach: Yes, Jeff, just to clarify. Are you speaking as relates to the distribution market, specifically?
Jeffrey Geygan: Yes, just distribution. I'm wondering if these are brand-new customers to Allied, or if they're all existing customers we're just penetrating or it's some combination of?
Dick Warzala: Okay. I understand. I didn't understand the question. Thank you for the clarification. Distribution in that ASP channel will be primarily new customers.
Jeffrey Geygan: Fabulous. Then, as part of your logic here, there may be cross-selling opportunities once you get a foothold in with the distribution to maybe other customized solutions to sell?
Dick Warzala: Absolutely.
Jeffrey Geygan: Last, I've just two quick questions. Number one, in looking at your CapEx and your stated objective of $5 million to $6 million for the year versus your actual depreciation expense, looks like your depreciation is running in excess of CapEx. What does that really imply about the business on a forward basis in terms of the amount of capital we may need? And does this ultimately become somewhat of an asset-lighter business?
Dick Warzala: Well, let me -- I'll start and then Mike can add some more color to my comments here. As I mentioned to you or mentioned earlier in one of the questions, we need to -- we're going after some target markets that we feel offer significant growth opportunities, and -- but they are also going to require investments. And so I would say to you that I would expect that our investments going forward might increase, because we're going after some larger and larger opportunities as we develop the company. We've established our credibility on a global basis. We are seeing more significant opportunities on a global basis, which are larger than some of the opportunities we've had in -- we've recognized or realized in the past. So I think, and also I've mentioned that we must be very careful. Because of the magnitude of the CapEx, we have to ensure that we're lined up internally and we're not duplicating investments and we're consolidating the investments and we're creating a strategy where we use a light technology, and because we are technology-driven, solving the problems and we're leveraging that investment across many areas, not just in one specific unit. That's critical for us, but our investment -- the size and the magnitude of the opportunities increase, our commitment to penetrate markets increase, we'll necessarily need to go up. Mike, you want to add anything to that?
Michael Leach: Sure. Couple of things, I would suggest that the current CapEx spend is indicative of what I would think is the need to support the business and support growth on a normalized basis. That said, as Dick mentioned, there are specific customers and/or contracts that we have and/or chasing that may require specific investment in production capabilities and lines and things like that to support that on those one-off basis. Those one-off contracts may require additional investment to support. As far as the depreciation exceeding the CapEx spend on an annual basis. I think, it's really an indicator of our acquisitive history, right. There's a lot of assets acquired at a fair market value that's in that depreciation pool that's little bit different in nature, if you will, of a repetitive CapEx spend on an annual basis.
Jeffrey Geygan: Last question. You've been very thorough and thoughtful in managing your balance sheet. Looks like you're building cash again. You're managing your debt. It strikes me that an acquisition might be in the offing here. You've also been judicious about using or not using equity. Any thoughts or perspective on that you might show us shareholders today?
Dick Warzala: Sure. I think as mentioned in the prepared comments, I mean, we are following the same discipline that we have followed in the past and we'll continue to do that. I did mention that our activity is very high right now and that, quite frankly, if everything came through doing it all with debt might be a challenge. So we're prioritizing what we're looking at. We're aligning it up to make sure that we're getting the best returns both strategically and financially. And I guess, I wouldn't rule out potential if we saw -- and our Board is very active in this process. If we saw the opportunities here to continue to improve shareholder value and wealth that we would explore whatever necessary to accomplish that. So we're quite excited. I mean, it's great opportunities out there for us. And we'll do what we have to do to make sure that we realize.
Jeffrey Geygan: All right, thank you for your time today and lots of luck with your continued success.
Dick Warzala: Thank you very much.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to the management for any closing remarks.
Dick Warzala: Thank you, operator, and thank you, everyone, for joining us on today's call and for your interest in Allied Motion. For those in the New York area, we will be presenting and available for investor meetings at the Craig-Hallum Alpha Select Conference in New York on November 16. In the meantime, please feel free to reach out to us at any time and we look forward to talking to you all again after our fourth quarter results. Again, thank you for participating and for your continued support, and have a nice day. That's it, operator.
Operator: Thank you, sir. This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.